Operator: Hello and welcome to the Cumulus Media Fourth Quarter Release Conference Call. Please note certain statements in today's press release and discussed on this call may constitute forward-looking statements under federal securities laws. These statements are based on management's current assessments and assumptions and are subject to a number of risks and uncertainties. Actual results may differ materially from the results expressed or implied in forward-looking statements due to various risks and uncertainties or other factors.
 I would now like to introduce Mr. Lew Dickey, Chairman and CEO of Cumulus Media. Sir, you may proceed. 
Lewis Dickey: Thank you, operator, good morning everybody. Appreciate everyone taking the time to join us today for  fourth quarter and full year 2012 update. Also joining with me today is our CFO, JP Hannan. Today we are going to update you on our operating performance for the fourth quarter full year and share some pacing for information for the fourth quarter and into the early second quarter for 2013.
 As you may recall 2012 was our first full year of operations following the 2 transformative acquisitions we closed towards the end of 2011. Before we discuss the current results, I thinks it's instructive to take a brief look at what's been accomplished over the last year are so and in essence frames where the company is today. It's good context for the things that we have in place that we are going to be discussing.
 In August 2011, we closed on the acquisition of the 85% of CMP or Cumulus Media Partners that we did not already own and immediately following in September, we closed on the merger of Citadel Broadcasting. This grew Cumulus from 330 stations and 57 markets to 572 stations and 120 markets. Additionally we entered into the Radio Network's businesses, the result of the Citadel merger, acquiring what was the former ABC Radio Network.
 As a part of this process we also full recapitalized the company with $475 million of new equity and about $3 billion of new credit facilities with long-date maturities and very attractive pricing. In October of '11, we begin the integration of these newly acquired assets and focused on delivering what we told the Street was $51.9 million of expense synergies that we promised to both lenders and investors. By the end of the year on 2011, just 100 days into the process, we had implemented all these synergies, successfully enabling us to realize by the end of 2012, 20% greater than that or about $63 million was the total synergies realized by the end of 2012.
 And again this process is not over as we continually develop new strategies and technology to continue to optimize the business, particularly on the fixed cost side and run it more efficiently. Now with the synergy implementation and the systems integration well underway, by the middle of this past year we turned our focus to developing revenue initiatives using our newly acquired platform. Throughout the year we announced a series of new strategic and content partnerships that will enable our companies to grow revenue in future years beyond the core radio advertising marketplace.
 One of the things we did was invigorate the Radio Networks division, adding a number of new talents to the lineup,  launching shows with Governor Mike Huckabee, Geraldo Rivera, Sanjay Gupta and Michael Savage as well as some other initiatives that we have focused on. We also announced the launch of importantly the CBS Sports Radio network in collaboration with CBS, and the launch of Right Now Traffic in partnership with Radiate Media. These now give us strong ownership positions going forward into 2 key verticals, sports and traffic. Both of those – so in essence we have created 2 solid new entrants into respective $150  million markets, sports and traffic.
 On the digital front, we enhanced 2 existing internet initiatives with the announcement of a strategic alliance with Clear Channel, where we became -- or excuse me, they became new affiliate of our SweetJack mobile commerce platform and we add our radio stations streaming content to their iHeartRadio content aggregation platform. In addition to being the second largest radio broadcasting company, we are now also third most listened to internet radio company as a result of our 2012 investments in our streaming platform and the exposure gained through iHeart.
 So again, we went from about ninth to number 3 in terms of the largest streaming platform. And we are now currently making important investments in software and systems to enable us to better monetize this increase in traffic because we now have critical mass in that area. We have also hired more than 100 new sellers in to the company and restructured our national sales force to recapture the share of the marketplace. We recently announced the hiring of Steve Shaw, who was the former President of Katz, to come in and head that national effort for us. In fact, today is Steve's first day on the job.
 We also launched our corporate brand solutions group to offer integrated marketing solutions to our largest and national advertisers, making it highly efficient for them to access the entire platform of our assets in a one stop shop. So platform sales is increasingly important to offer customized solutions to the large national advertisers and through the formation of the brand solutions group and the communication amongst the platforms, be it network, national, digital, local spot NTR, we now have the coordination point to enable us to go to the client in a single point of connection and offer those solutions. Again, another investment to help us grow our revenue base going forward.
 By mid-year we contemplated a comprehensive -- by mid-year last year we contemplated a comprehensive portfolio review of our assets and in July we divested 55 non-strategic stations to Townsquare for $115 million plus their stations in Bloomington and Peoria, Illinois. We feel these new assets acquired from Townsquare fit very nicely with the other markets we have in that region, principally the 5 markets we have in Iowa and the cash received from Townsquare has been reinvested into larger markets, with stronger growth potential for our company.
 These include the acquisition of 2 FMs in Kansas City, one FM in New York that we closed at the beginning of this year. Now the station in New York, formerly  WFME since renamed WNSH, was a tremendous value with just $40 million, full Class B in New York, and enabled us to bring the country format back to New York for the first time since the mid-90s, been about 17 years, and re-launched it with a very strong brand, NASH FM.
 The NASH brand was extremely well received by listeners, advertisers, general media and particularly the Nashville entertainment community, and we further capitalized on this with a 3 day concert for our advertisers and listeners last month, which was the NASH BASH at the Roseland ballroom. NASH FM will become the flagship for our larger national country initiative that we are in the process of rolling out throughout the rest of this year. It will ultimately be a multimedia platform brand for Cumulus, targeting that key audience segment, which is about 85 million Americans. It will be through our O&O group as well as syndicated through our network as we mentioned, as well as through a multimedia platform.
 Throughout it all we maintained our focus on enhancing our strong free cash flow to de-leverage our balance sheet, and since the closing of the Citadel merger, we have paid down more than $260 million of senior debt in preferred stock. We repriced our first lien debt at the end of last year, reducing our borrowing cost by 125 basis points to lower interest expense in '13 by about $17 million.
 Now along the way experienced, as we expected, our own fair share of struggles as we aggressively implemented format and management changes, replacing about 40 of 55 managers and several of the network as well, in order to affect immediate turnaround in addition to the integration that we talked about on our last call. This has kept us quite busy but however, we have made great progress with most of these assets and we continue to focus on ten underperforming stations that accounted for more than 100% of the company's total revenue decline in 2012.
 As I mentioned last quarter, we are making excellent progress here while we expect those assets to -- they were negative in the fourth quarter and we expected as we said, to be negative again in 1Q. We expect it to come close to breakeven in 2Q and then the trend line is strong and positive for us and we expect to make up the ground in the back half of the year and actually post positive growth for those ten stations for full year 2013, and we are on schedule to do that.
 With a review of where we have been to this point, our Q4 pro forma net cash revenue was $276.9 million, increasing about $1 million or 0.3% from the Q4 pro forma results of the prior year. This result is the impact of about $13 million of political spending in the quarter, offset by revenue declines from the underperforming Citadel stations. Outside of political we saw strong growth in auto, real estate, and banking as the housing market continues to improve. We saw revenue declines in entertainment, retail and insurance.
 Moving on to the cost side in Q4, again we seated our guidance on the execution of the acquisition related synergies I mentioned earlier. In the fourth quarter of last year we realized another $5 million of these merger synergies, bringing our fully realized total since closing to over $63 million by the end of last year. All total, our Q4 performance resulted in strong pro form adjusted EBITDA growth of $9.4 million or 9.6% to approximately $107.2 million. This resulted in free cash flow generation of about $48 million for the quarter.
 This represents a 66% increase over prior year's period as we come through the acquisition cost and severance related to the effective synergies we have posted today. Now looking ahead into  the first quarter of 2013. Q1 revenue was currently pacing down 2% with March pacing slightly positive and April is pacing up about 5%. January, February finished down over 3% each due to sluggish demand for advertising in response to what was really very lethargic consumer spending in the beginning of the year. We saw a number of large advertisers place orders -- or defer orders and place later into Q2 and beyond at the local and national level and especially at the network level.
 We are encouraged by the pacing we are seeing in Q2 on the station side with all 3 months in the second quarter right now pacing over 5% and the company total pacing at about 2% due to the shortfall in network. Now network as I mentioned has been placed later and so the pipeline we have for the network and the visibility should have the network performing at about a flat level with prior years, so we expect that pacing level to improve across the company as a whole. The 5% each on the 3 markets is currently being dragged down by the network negative pacing which we expect to improve.
 Now the growth initiatives we launched in 2013 including NASH FM, CBS Sports, Right Now Traffic and our digital platform and sales systems and efforts like Brand Solutions, the investments we are making in all of those businesses we expect to breakeven in 2013, and for it to drive growth historical EBITDA margins for our company in 2014. All of these are in essence startup businesses, new entrants into respective such as sports and traffic in particular, then obviously we have launched a brand new radio station in New York City with all the attendant marketing and staffing that’s going around the launch of the NASH brand. Very exciting concept for us but all of these things take some upfront investment.
 So based on where we see this coming and we believe that these investments are actually the payback that’s going to be in its first full year contained in the 2013 but however position us very solidly for growth in those key areas in '14 and beyond. That’s the update. I am going to pass it off to JP, who can provide information on the numbers and then we will open it up for questions. JP? 
Joseph Hannan: I will quickly review a number the balance sheet related items before we move on to questions. As Lew mentioned, we completed our repricing on our first lien debt in December. This reduces the interest rate on that debt by 125 basis points to LIBOR plus 350 basis points with 100 basis point LIBOR floor. As part of that transaction, we reset the borrowing amount on the term loan to the original $1.325 billion, which put an additional $11 million of cash back on our balance sheet. We then made a regularly scheduled principal payment of $3.3 million at year-end bringing the final balance of first lien term loan at 12/31, $1,321,688,000.
 We also have second lien term loan debt of $790 million. This was not effecting by the repricing and we continue to have our 7.75% notes outstanding which totaled $610 million. All total, we ended the year with outstanding debt of $2,721,688,000. We also have approximately $75 million of preferred stock outstanding at year-end that’s not included in the calculation. We finished the year with just over $88 million of cash on hand.
 In the press release, for transparency, we have again presented both as reported and pro forma operating results for the quarter and year-end. I thought I would point out that for Q4 both the current and the comparable period, the full operating results for the CMP and the Citadel transactions are now included in each of these numbers. Also included is the presentation of the 55 stations we sold to Townsquare as discontinued operations. As a result, the only difference remaining in the current quarter between as reported and pro forma is the 2011 comparison period. This is due to the inclusion of the Bloomington and Peoria assets that we acquired from Townsquare in July of 2012.
 The year-end pro forma numbers factor in all transactions including the mid-year 2011 CMP and Citadel purchases. Factoring all of these M&A activities, our final pro forma adjusted EBITDA number for 2012 was $395.3 million. This is a 7.4% growth rate over the pro forma 2011 period. This leaves us with net leverage at the end of the year of 6.8x.  As far as the transaction with Townsquare, we received $114.9 million of cash, the tax affected proceeds of which are subject to reinvestment obligations under our credit agreement. We have now contracted or closed on sufficient replacement station assets, several of which Lew mentioned earlier, that will satisfy this reinvestment obligation.
 Capital expenditures finished the year well below our guidance at just $6.6 million due to a number of scheduled year-end projects being pushed forward into the next calendar year. Our estimate for full year 2013 for CapEx continues to be in the $12 million to $15 million range though. Elsewhere on the balance sheet, as part of our routine annual evaluation of intangible assets, at year-end we did recognize and write-down a goodwill and other indefinite lived assets totaling $114.7 million. Finally, we have now completed all tax work post the CMP and Citadel acquisitions and substantially all of that around the Townsquare transaction.
 As a result, our guidance for 2013 federal cash taxes will not change. We will not be a federal cash tax payer in '13 and we do not believe we will be one in 2014 either. We believe we will be partially a payer in 2015. We will be filing our Form-10K and a report later today with more details on everything I have just discussed. Now with that quick review, we can open it up to questions. Operator? 
Operator: [Operator Instructions]  Our first question comes from Lance Vitanza with CRT Capital. Your line is open. 
Lance Vitanza: I apologize, I had some problems getting on the call at the beginning, so I think I have missed a couple of your early comments. But could we talk a little bit about the pace of strategic investments seems to have slowed. Is that indicative of what we should expect for fiscal '13. And then JP, I couldn’t quite make out the comments that you had regarding the CapEx, obviously much lower in 2012 than the guidance had been. How much of that was projects being deferred into 2013? 
Lewis Dickey: We will take the first one first, Lance. The strategic investments that we are making right now on growth. We talked -- I don’t know how much of the opening remarks you missed -- we talked a little bit about, obviously the acquisition and the integration and the turnaround,  and the progress on the synergies which were at the end of the year about $63 million on expense saves. And then we shifted and talked about what were the growth initiatives and where were we making our strategic investments to grow the business and take full advantage of this platform. And it really centers around 6 primary things that we are focused on.  One we mentioned, obviously, CBS Sports, and we just went live in January with our 24-7 network there and we have made a tremendous investment in that -- I see a very smart strategic investment in that particular vertical to go out and attack $150 million market. And so, as I mentioned, we think that the investment in that is a payback this year and we are probably slightly positive on that investment in 2013 on CBS Sports, maybe a little bit of upside there.  Right Now Traffic, another investment that we have made in a growth area, another $150 million market to go out and attack. The investment we are making in Right Now Traffic, likely turns positive for us again also in the back half of the year. NASH, we made a big investment in our initial radio station in New York, $40 million, and we have an investment obviously from an OpEx perspective of staffing and marketing. You are starting a radio station from scratch in New York City, obviously it's expensive to do something like that. But we are -- the budget that we set for NASH, we now expect to exceed that. NASH is about, it's reaching about $1 million listeners in New York and it's only -- we launched it in January 21 so it's really only had a short window here on the ratings and it's already up to about 1 million that’s it's reaching on a weekly basis. So it's actually performing greater than our expectations out of the gate. By the way, that’s before any of the promotional expenditures that we are making. It's significant to go out and market the brand. So the promotion hadn’t even hit yet because we hadn’t had talent yet on the air. 
 So we are now actively promoting NASH in New York, and as I say, it's off to a great start. So we have start up cost in that. And then clearly brand solutions that we mention in terms of -- it's really an investment in people and some basic systems to help coordinate all of those efforts to go out and try to be able to provide custom solutions for advertisers, the network national spot and local and digital level. So that’s, Brand Solutions is another investment and again just spend quite a bit of time on that this morning reviewing pipeline. We feel that we have got an awful lot in the pipeline for Q2 and Q3 right now but obviously this is an initiative where you have to put some wood in the stove before it gives you heat.  And then on digital, I mentioned we have our -- through iHeart, the amount of traffic hasn’t bumped up dramatically here for our digital platform, it's now the third highest rated digital streaming radio platform if you will. And we didn’t have the -- we didn’t really have the systems or the technology to be able to monetize that. And so we have spent quite a bit of time here in the last 90 days burning some oil on updates to our traffic system and technology and sale systems to be able to monetize that more effectively and we now have our sellers. We have 1450 sellers, we have them out on the street right now focused on incremental digital revenue. And so, again, that should start to payback. Of course we are seeing some very healthy signs but it's only been out for a couple of weeks. So we are seeing some encouraging signs out of the gate on that but again that’s a longer term play throughout the year. 
 And then lastly, SweetJack that we have talked about before as our mobile commerce play, and so we hired the CMO from Barnes and Noble to come in and oversee that and we have got that highly focused as a mobile commerce play, if you will, in terms of helping our radio stations activate their listeners through this platform. Right now, it's on target to do probably a little north of $10 million for the year. We think that there is some potential upside to that but obviously that is still on the investment stages as have ramped that business up. So those are the 6 principal areas that we look at in terms of strategic growth and investment. On the content of sports and sports traffic and our NASH country initiative, then the others are really more sales driven in terms of increasing our capacity and capability to attack new revenue streams. Then JP, the second part? 
Joseph Hannan: Yes,  Lance, with regard to the CapEx. So we have been guiding all year about $12 million in CapEx. We came at $6.6 million. So the $5.4 million that we came in under, I would say about of half of that are projects that we deemed unnecessary or reconsidering, the other half is just projects, the timing of pushing in to the next year. So our guidance for next year had been $12 million to $15 million. We still feel very comfortably we will be within that range even with the deferral of the 2012 projects. 
Operator: Our next question comes from Michael Kupinski with Noble Financial. Your line is open. 
Michael Kupinski: It seems like the network business might be off to a little slower start than expected and I was just wondering is this due to maybe fewer clearances for some of your shows or is it just weak advertising? If you can just add a little color on some of the shows, like Huckabee for instance and so forth that would give us a little color on what's going on in that network business. 
Lewis Dickey: Yes,  Mike, just to hit one part of your question on ratings. So just the RADAR ratings were just released today and obviously most advertising is female driven and so the 4 female networks that we have were year-over-year had nice increases and in fact the strongest in the space. So the ratings in terms of the, where most of the business is placed on female side  actually doing pretty well. Clearly it's been well documented that the talk side has been challenged. Most of that due to some of the issues that happened a year ago and so there has been residual hangover on the talk side in terms of advertisers sitting out and not placing there. And clearly that’s had an impact not only on our network business but it's had an impact on some of the news talk stations that we in the top markets in our radios -- in our O&O group.  So it's had an overall impact across the board on that and so that’s something that we are dealing with on an ongoing basis. The overall network business, we have seen a lot business that was generally placed in 1Q was placed very late and we are now seeing a lot of activity -- there is a lot of activity right now for the second quarter. And it's more of a long cycle business. So when we say it's not really akin to the spot market in national or even in local, so when we see real activity in the second quarter now, that’s activity for Q2, Q3 and Q4. So there was a lot of business that was just left out in the first quarter that is now starting to come back into the market place. So that space has had some challenges, no doubt. And again through our entrance in traffic and sports, we feel we are attacking a large segment. It's about $300 million $350 million of addressable market that we didn’t have a competitor in before. And so I think that’s -- we are always going to have curve balls like we had on the talk side. So we have got the ability to address it through other entrants and other products. And that’s one of the things that we are focused on to continue to grow that business. 
Michael Kupinski: And then in terms of the pacings, is there any disparity between local versus national at this point? It looks like local is starting to get a little bit of traction and national has kind of picked up a little bit. But any thoughts on disparities between the two? 
Lewis Dickey: It's not enormous. The biggest disparity we have right now is stations versus network but not so much on local versus national right now for the quarter. 
Michael Kupinski: Okay. And is there anything extraordinary in the corporate G&A line in the last quarter that -- if you can just talk a little bit about that line item in terms of the run rate going off. Should it drop off a little bit in coming quarters? 
Joseph Hannan: We did have another $8 million or so which we have identified in the press release of restructuring charges and deal related fees related to Townsquare leftover, WFME purchase, the repricing etcetera, it's broken down in the release. We have reached the point with the [structured fees ] where we are done with the Citadel fees and unless other transactions we wouldn’t look for us to have much of that in the corporate G&A line. 
Michael Kupinski: Okay, yes. But once you back to that, JP, I mean is there the baseline? I mean what would you say would be a good baseline for the corporate G&A line? 
Joseph Hannan: Corporate will come in just about $30 million for the year. 
Operator: Our next question comes from James Marsh with Piper Jaffray. Your line is open. 
Unknown Analyst: This is Dan on behalf of James. Lew, if you can just discuss the progress on the CBS Sports side, where do you guys stand with station rollout. You know when can expect revenue improvement coming from that initiative and if you can just discuss the ad trends you are seeing from the converted stations from ESPN to CBS Sports? 
Lewis Dickey: Okay. Dan, it's too early on ratings right now because we just launched this. So we don’t have numbers yet to justify. I think we have got a great line up and the guys have done, Chris Oliviero and his team at CBS have done I think a wonderful job in assembling a very competitive line up that we are taking to market as well as what we are doing with our updates and our 24X7 updates across the board. So we have got 2 or 3 products that were out there in the market place with, and we don’t have play by play at this point, but we have 2 or 3 product we are out there with. The affiliations have gone very well. We are up to almost 300 station right now that are affiliating with it and I would say the next big wave is going to be, now that it's out there, and it has a chance to establish itself, then you have people and then, obviously, contracts are in place and they have to expire and run their course.  So I think in terms of the initial penetration, our affiliate sales team has done an excellent job of clearly this network and the product across the country and sales on it look strong and the pacing is good. And what we have in the pipeline and the discussions we are in also look very good. So we expect to exceed our budgets for this initiative in 2013. Obviously, we have some upfront cost in it to get this thing launched and so those are borne or shouldered, I guess, more in the early stages, first quarter and a little bit in the second quarter for these start up costs, and then the revenue starts to really come in, in the back half of the year. But it's off to a very good start in terms of clearances and in terms of ad revenue and bookings for the year. 
Unknown Analyst: And then just one more on the quarter. Can you break out the decline in core local versus national excluding political and network? 
Lewis Dickey: You are talking about, for fourth quarter? 
Unknown Analyst: Yes,  Q4 '12. 
Lewis Dickey: Yes,  we are not giving that information out. We have given political revenue for the quarter about $15 million, and so we are not going to go into further detail on the local national. 
Operator: Next we have the line of Aaron Watts with Deutsche Bank. Your line is open. 
Aaron Watts: Lew, one last follow-up on the political. Just I think you said $13 million this quarter. What was it in kind of the pro forma quarter from the prior year, just a comparison? 
Lewis Dickey: It was up about 5% for the year, Aaron. I don’t have -- let's see if we can get that number for this year. Year-over-year was up 5% so the quarter was up what... 
Joseph Hannan: From 2011 it's 2.3 million. 
Aaron Watts: Okay, perfect. And then, Lew, just so I'm clear on the guidance. Station is up 5%, is that comparable to what you said the overall 1Q pacing of down 2%? Is that the right comparison or would it be the overall company for 2Q looking up 2% comparable to 1Q down 2%? 
Lewis Dickey: It would be the 2%, so it would be down 2% against up to overall. As I mentioned, the station group in the -- by the way stations and network are very comparable in 1Q on terms of performance, it's just that we have a disparity in 2Q because of the timing of booking in national this year. But in terms of our forecast for national, we don’t expect it to finish where it is currently pacing as a result. It's a much more long cycled business and so there has been some delays in terms of when things are placed. But on the station side, the pacing is up about 5 points, a little of north of that in each of the 3 months. 
Aaron Watts: Okay. Got it. 
Lewis Dickey: That’s just pacing, okay. That’s not guidance, that’s pacing. We see how things play out but it would definitely, the tone and tenure of business in demand out there is improving. 
Aaron Watts: Okay. And then one last one from me. We have seen a lot of consolidation amongst station groups on the television side of broadcasting, not so much lately on the radio side. I think Citadel is probably the last one with you guys. But can you maybe just give us your latest thoughts on whether you think radio broadcasters have the same type of synergies and scale benefits that the TV guys have been talking about? And whether you think Cumulus would benefit from something like a larger scale acquisition? Thanks. 
Lewis Dickey: We are very focused on running our business. Obviously we did a large acquisition and as we mentioned we had the integration and then we had a turnaround to attack on this. So we are heads down very focused on this. And then obviously, that’s more of them, I call that more defense balling [ph] and then on the offensive side we have our -- we have the 6 initiatives that I mentioned that will put us in a position to -- or what we call our growth drivers going forward above the straight spot radio market. And so I think all of those -- it all makes sense. I think just as a quick aside, I am not as facile on the television side to talk to the overall industrial logic of that consolidation play. I guess re-trans is important to be able to move rates over and benefit smaller groups. But in our world what we are seeing is, from the advertisers side, particularly on the national and network side, they are looking for customs solutions and they are looking for cross-platform deals as much as possible to drive activation.  So there is a lot of ways to spend advertising dollars today and good ideas consistently win. And good ideas that help reach people in different ways and in different places and different times throughout the week to keep a brand on top of mind and to actually create a plan of action for the consumer to activate them to go sample a product to drive traffic. Those are the types of things that are -- and it makes good sense, it's common sense that those are things that should interest advertisers as they look to invest their marketing dollars. So we have certainly seen from our perspective, the 6 things that I just mentioned that are initiatives for our company, legacy Cumulus would not have been in a position to execute on virtually anyone of those. Cumulus plus CMP barely, you know, a couple of them. And now Cumulus plus CMP plus Citadel, plus ABC Radio Network is in a position to execute on all of them.  So it's a situation where the scale clearly does have its advantages and particularly in the areas of helping you to identify new growth drivers in areas where -- because, again, nothing is static. The ad markets are moving and the buy side is constantly moving and there are always more choices out there. And like what business you are in, it has to evolve and it has to innovate or you are going to be left behind. So the scale has certainly afforded us the ability to -- and we wish we just hands full, quite frankly, with the integration or the turnaround and now we are able to start to focus on these key areas that I think are going to make us much more competitive.  So I think longer term it does -- there is a very compelling logic behind further scale to be more competitive in those areas and to develop ones that we haven’t thought off yet. But I don’t think it's important. 
Operator: [Operator Instructions]  Our next question comes from Davis Hebert with Wells Fargo. Your line is open. 
Davis Hebert: First question on the balance sheet. I wanted to see, given your strong free cash flow profile, what your plan of attack is on the preferred versus debt repayment this year? 
Lewis Dickey: Well, Davis, we have talked about that. We have -- the preferred is something that is the highest priced tranche in our capital structure. So clearly we would like to take it out. It's in a debt complex of 2.7 b at $75 million. So while not huge it's still the priced tranche in the capital structure. So we would like to take it out. It's something when we have the ability to do so, through [RP] baskets, we will start to do that if there is a way. There is a couple of strategies we are kicking around to potentially attack it sooner but we will have more to say on that in the coming quarters. It's pretty much going to be status quo for the next 2 quarters. 
Davis Hebert: Okay. So essentially focused on debt repayment in the next couple of quarters and then as your RP basket builds that would be a possible scenario down the road? 
Lewis Dickey: That’s just one tranche that we can't repay right now but obviously we are very focused debt repayment for the foreseeable future here as we continue to build on the $260 million of debt we borrowed and preferred we have already paid down. 
Davis Hebert: Okay, that is good to know. And then on the Q4 results, have you guys broken out those ten stations? That is something you provided some pretty good color around the past couple of calls. Didn't know if that was something you could provide for this quarter. What it would have been without those ten stations? 
Lewis Dickey: Yes,  for competitive reasons we are treating them as a group and they were down -- the total revenue was down $22 million or $3 million for 2012 and they were down about $29 million. So it was similar in the fourth quarter. Just assume those ratios hold true. And as we mentioned that we will start to skinny that down a bit on 1Q and it gets closer to a breakeven in 2Q and then we expect it to be -- for back half of '13, we expect those ten stations collectively to actually be positive and wash away the decline as experienced in first half of 2013. And we are on target to achieve that, that stated objective. 
Davis Hebert: Okay, great. And then on the Q1 pacing, I guess same kind of question. Are those stations dragging that down 2%? I mean is there a drag from those 10 stations? 
Lewis Dickey: Yes. 
Davis Hebert: Okay. And as far as like a cost for Q1, how should we think about that given some of the strategic initiatives especially with the New York station? How should we think about the cost line item for Q1? 
Lewis Dickey: Well, we haven’t given specific guidance for that. I think when we announce earnings in about 45 days on that, we will have more to say about the cost for Q1 and sort of the guidance on those initiatives and costs for the rest of the year. 
Davis Hebert: Okay, and then more of a big picture question. What's your State of the Union on the royalty structure given Pandora out there saying it's too high for them? What's your say on this situation? 
Lewis Dickey: I think if you canvassed everybody, they would say the royalties are too high. So it's like a tax. Nobody thinks they should be paying more. So I think that it's something that is -- we pay a very hefty tax today for the artists and composers through BMI, SESAC and ASCAP. And in terms of a performance tax for artists and record companies, going forward I think that’s a ongoing debate. There have been some proposals, there have been -- some companies have chosen to cut side deals with some of the smaller labels and I think, I would just say that all of that work in progress but I think kind of the [indiscernible] has been laid with these deals that have been cut to date in terms of framing a range acceptable to the companies that done them. A range of acceptable levels and some potential trade-offs. And so, as I say, all of it in my mind is work in progress and it's something that we have always said that we have been very, very focused on the integration on the turnaround and now our growth initiatives. And so organizationally it's something that we can turn our attention more towards in the back half of the year. It's not something that we are going to be burning any oil for the next quarter or two. 
Operator: Next to the line of Amy Young with Macquarie. Your line is open. 
Amy Yong: Can you just talk a little bit about some of your higher cost contracts either on the programming or vendors like Arbitron that you could potentially exit as we think about 2013 and 2014? Then I guess just given the level of investments can you talk about the market share you can actually take on the network side over the next few years? 
Lewis Dickey: Amy, I will take those in reverse order, or I guess in the order you gave them. The Arbitron, we just signed a long-term deal with Arbitron, a five-year deal with Arbitron. So that is one of our larger spender contracts. But clearly we needed consistency across our platform for sales training and the ability to take our inventory to market. And it is the standard by which advertisers price inventory and execute buy. So in essence we made what we thought was a very fair deal for our shareholders and extended that contract for 5 years and basically encapsulated our entire platform, top to bottom, in that deal.  In terms of your question about the investments that we would make in the network and share, as we talked about you know sports and traffic are $300 million-$350 million businesses. But then if you look at short from, 15s in that market, that we would execute through our traffic network, it's actually even much larger than that. It's closer to $300 million market not a $150 million market. So we are definitely putting ourselves in a position to attack very large addressable markets that were kind of nowhere in today. And so we have made the investment and we have got great brands and product offerings to go compete there and we are off to a good start on both of them.  So I think that we do expect to take share as a result of that and then as we continue to productize NASH, all things country for our company and run that through the network, we have got some exciting products that we are in the process of developing with NASH that will be rolled out over the next -- probably in the next 2 quarters. And we should have, by labor day we should have pretty solid idea of the full product line of NASH to be able to take to affiliates, at least initially. Obviously that would continue to grow and evolve. And so that’s an exciting way for us to, we believe take share in that segment and really help expand the market that’s already there. So that’s the way we are thinking about it and I think we have thought about this stuff long and hard and where is the best opportunity for us to attack and hit addressable markets we are not in today and expand some others. And that is our game plan and we are very, very focused on executing it. 
Amy Yong: And then can you just talk a little bit about some -- any color around advertising categories for 1Q where you are seeing some weakness or strength? 
Lewis Dickey: I don’t have information yet on 1Q. As I say, given the pacing we will back on the phone in 45 days and we can give a very fulsome update by category at that point. 
Operator: And there are no further questions. 
Lewis Dickey: I appreciate everybody joining us today and we will back in touch with you in about 45 days to report Q1 and more guidance on the second quarter. Have a great day, thank you. 
Operator: This concludes today's conference call. You may now disconnect.